Hilde Nafstad: Ladies and gentlemen, welcome to Statoil's First Quarter Earnings Presentation. My name is Hilde Nafstad, and I am the Head Investor Relations in Statoil. This morning at 7 AM Statoil announced the results for the first quarter of 2014. The press release and the presentations for today's event have been distributed through the wires and through Oslo Stock Exchange. The quarterly report and the presentations can, as usual, be downloaded from our website, statoil.com. Please make special note of the information regarding forward-looking statements, which can be found on the last page of the presentation. Today Statoil's CFO Torgrim Reitan will go through the earnings and the outlook for the company. The presentations will be followed by a Q&A session and we will aim to end this conference at the latest at 2:30 CET. Please note that the questions can be posted by means of telephone but not directly from the web. The dial-in numbers for posing questions can be found on the website. It is now my privilege to introduce Statoil's Chief Financial Officer Torgrim Reitan. Please Torgrim.
Torgrim Reitan: Thank you very much, Hilde. And good afternoon and good morning to all of you in the U.S. Through the quarter, we have addressed the challenges that our industry is facing. Growing capital intensity, production growth has become increasingly difficult and profitability is under such pressure. At the Capital Markets Day in February, we outlined how we are meeting these challenges, how we are prioritizing hard, reducing our cost base and increasing efficiency to get more out of each dollar that we spend, and prioritizing returns to shareholders. So with this as a background, I am glad to present to you with a strong set of numbers today. The result represents both solid operations but also progress in deliveries on our new plan. So let’s look at the numbers. In the first quarter, Statoil delivered adjusted earnings of NOK 46 billion. This is up 9% compared to same quarter last year. The after-tax earnings are up more than 30% to around NOK 16 billion. Cash flow from underlying operations in the quarter was NOK 67 billion and we maintained good cost control and a strong capital discipline. Our net debt was reduced to 10% in the quarter and earnings per share were at NOK 7.40. That is more than NOK 5 more than last year. This was an especially strong quarter for our MPR segment. The results demonstrate the importance of a strong and flexible gas positions in Europe as well as in North America. Strong demand in North America and our access to important gas infrastructure enabled us to get high prices for our gas. Our operational performance in the first quarter was solid, especially on the Norwegian continental shelf. We are producing as expected, and we are on track to deliver the 2% production growth from the rebased level. Despite the recent divestment and redetermination of Ormen Lange, we are producing at the same level as last year. Our NCS production would have grown 3% a year without divestments and redeterminations. And overall for the company, the production would have grown by 3.5% year on year as our international production continued to grow around 4% year on year. We are delivering according to our plan on our projects. Gudrun came on stream 7th of April, on time and under cost. This is the first one in a wave of large projects using a diverse international supplier base. Two additional fast track projects came on stream according to plan adding valuable liquid production through our NCS portfolio and we made the concept selection for a gigantic Johan Sverdrup field. When that reaches plateau, the field will be one of the largest producing offshore oil fields in the world. We will continue to maintain good cost control and capital discipline. And we continue to see stable underlying costs. At the Capital Markets update in February, I talked extensively about our efforts to reduce costs. The work to implement the necessary changes is well underway. We are delivering on the staff and services projects, manning is significantly reduced and we are continuing to outsource services within this area. Furthermore, we work to standardize our projects, working on execution and make this more cost efficient; that work has started. And finally, the board of directors is proposing to pay NOK 1.80 per share for the first quarter in 2014, as we move from an annual dividend payment to quarterly dividend payments. The dividend will be paid in August and our intention is to maintain this level of dividend also in the two coming quarters, the level for the fourth quarter dividend will be announced in 2015. And remember these are additional dividend payments this year as we intend to pay the 2013 annual dividend which is proposed to NOK 7 per share, we’re going to pay that by the end of May. Reported operating income was NOK 51.4 billion in the first quarter, that is up 35% over last year. As always, we make adjustments to reflect the underlying business. So after adjusting down the result by NOK 5.4 billion, our net operating income was NOK 46 billion and that is up 9% compared to last year. The result was likely impacted by 1% lower production but was more than offset by an increase in realized prices measured in Norwegian kroner. Our costs in underlying operations continue to remain stable. However, as a result of increased international production, our transportation costs increased. In addition, we had some increased costs related to the startup preparations of new fields. DD&A continued to increase in accordance with our expectations. As we have more new fields on-stream, we continue to see some increases during the rest of the year, but the increase will not be as large as we saw in 2013. We delivered adjusted earnings after tax of NOK 15.8 billion, that is up 32% from the same quarter last year. The tax rate was 65.6% which is lower than the guided tax rate. The earnings composition internationally this quarter is more skewed towards low tax countries such as in North America. You should expect the volatility in the tax rate from quarter-to-quarter and the expected tax rate for the full year is unchanged from around 70%. In the coming years, we expect to see the tax rate stabilized below 70% and this is primarily due to increased contribution from the U.S. and the Canada, not need [ph] the high value oil barrels, we have under development in the Gulf of Mexico. Then let's take a look at the segments. From our Norwegian upstream business, we delivered adjusted earnings of NOK 34.2 billion, this is slightly down compared to last quarter. The 2% decrease was mainly caused by divestments, lower gas off-take, redetermination on Ormen Lange and the decline the as expected. This was partly offset by a high regularity within our operations. Underlying costs from producing fields were stable in the quarter. DD&A were up compared to same quarter last year due to new fields on-stream but they were at the same level as the previous quarter in the fourth quarter 2013. From our international operations, adjusted earnings were NOK 6.9 billion. This is more than 40% higher than the same period last year. We increased our equity production by 4% as we ramped up Angola Fields and resumed production in Amenas in Algeria. We also had the Terra Nova in Canada back on-stream and continue to ramp up our US on-shore production as well. The increase was offset in part due to natural decline especially in Angola and disruptions resulting in lower production from Libya. Revenues were positively impacted by higher entitlement production, NOK 1.5 billion and higher realized liquids and gas prices in NOK 0.7 billion, this is partly offset by higher operating cost related to transportation and royalties which are a function of the production volumes. The results from marketing processing and renewables were NOK 5.9 billion and this is a record result on a quarterly basis from that segment. This is more than 100% higher than the same quarter last year. A large contribution comes from our US gas business, driven by the exceptional cold winter in Northeastern part of the United States and contribution from LNG. We have taken long-term positions in pipelines to Toronto and into Manhattan. We are optimizing our gas value chain much the same way that we do in Europe. We also saw good results from our European gas business despite the warm winter and lower volumes sold into this market due to lower prices. The first quarter saw an improvement in trading of crude, gas liquids and products over the same quarter last year. However the result was partly offset by declining refinery margins that were at $2.5 the last quarter. In the first quarter, we produced 1,980,000 barrels per day, this is 1% lower than the same quarter last year. In Norway, we had strong regularity. The main causes for the lower production compared to last year are divestments and the redetermination of Ormen Lange. International production continued to increase. We have provided a guidance of around 2% organic production growth this year from a rebased level. The production in the first quarter was in line with what we need in order to deliver on this growth. This also implies that the production for the rest of the year is expected to be lower than what we saw in the first quarter. So please note the following for the rest of the year. On the NCS, Gudrun started production in April and it's now ramping up. We have also two fast-track project, new fast-track projects on-stream. Valemon is our next large operated project to start and we aim to have the field on-stream towards the end of the year. Internationally, the divestment of Shah Deniz to BP was closed end of March and we expected the divestment to Shooker [ph] to close shortly. Hence we – this will have a negative production impact for the rest of the year. And as you know the next three quarters have seasonally lower gas production and they have also a higher planned maintenance. We’ll come back to this under the outlook session. Using our assets’ flexibility and value chain competence is an important part of our strategy. In Europe we have modernized our gas contract portfolio. Our contract portfolio is less exposed to future price reviews than previously. As of first quarter, 6% of NCS based contract portfolios is subject to price reviews. And around 60% of the NCS gas is sold under long-term contracts. In parallel, we have realized high prices on our gas sales portfolio. In U.S. shale, we are placed in some of the best place. We saw early that infrastructure challenges and bottlenecks would put pressure on local gas prices. We secured access to pipelines to reach premium markets in the Toronto area and as well as on Manhattan. We now sell equity gas as well as third-party gas into these premium markets. And in January and February, we benefited significantly from these positions. On average, we achieved prices 129% above Henry Hub and 236% above local liquid hubs. And this is on average for the whole U.S. position, including Eagle Ford production and all of that. In the first quarter, around 70% of our global gas sales were gas index. We believe we are in a strong position to capture additional value through our gas business. But you must expect to see volatility in the quarterly figures also in the future. The cash generation was strong. Cash flow from underlying operations was NOK 67 billion. This is 17% higher than last year. The increase is due to higher realized prices measured in kroner as well as stronger performance in the mid and downstream part of the business. For NCS, we paid only one tax instalment in the first quarter, so the cash tax is consequently lower than the reported tax on underlying earnings. We have closed the farm-down of Shah Deniz to BP, while the farm down to Shooker [ph] is expected to be closed in the second quarter. We invested NOK 29 billion in the quarter, which is in line with an average quarterly run rate based on the annual guidance. Our net debt to capital employed was 10% of the first quarter. It demonstrates a strong financial position. But as we are paying one and a half annual dividend this year, we expect gearing at the yearend to be around 20% as we discussed in London in February. So we’ll continue with a firm financial framework and a solid balance sheet. So let’s move to the outlook. We expect our production to grow 2% from 2013 on a rebased level. New fields will contribute to this growth. Gudrun, fast-track projects and towards the end of the year, the Statoil operated Valemon field. We will invest around $20 billion in 2014. We deliver projects on time and under cost. We are committed to deliver on our improvement program and implement cost-savings and CapEx efficiency programs. I will report progress on this on our strategy update next year. We maintain a high exploration activity. Total exploration activity level will be around$3.5 billion, and we expect to complete around 50 wells in 2014. And we will have high impact exploration in six basins this year. We have just spudded the exciting Markin [ph] prospect in the Gulf of Mexico and we will spud the gigantic De Lulu [ph] prospect in the Kwanza basin later in the quarter. On Barents campaign, we'll enter a new phase when we move to the Hoop area to start drilling three wells starting next month. And in total, we will drill 20 high impact wells during the 2014 and '16 time period. We are entering an extensive maintenance period with around 110,000 barrels per day in effect for the second quarter, 65% will be related to liquids, 75% will be on the NCS. For the third quarter, we expect a maintenance effect of around 60,000 barrels per day. Sixty percent of this is liquid and 60% on the NCS. So to round up, we delivered strong earnings and had strong cash generation. Our operational performance was good with production as expected. We realized significant value from our North American value chain positions. We are delivering projects on time and under cost, and we are proposing our first quarter dividend of 1.80 NOK per share. Looking ahead, we are well-positioned. We continue to efficiently develop our project portfolio. We have a strong resource base and we are prioritizing strongly. Our exploration program is extensive and there are several exciting wells for the rest of the year. And we will maintain a firm financial framework and we will continue to pay our predictable and growing dividend. And we will do all of this while we are keeping our balance sheet solid. So thank you very much for your attention. But first, Hilde, this is your last quarter as head of investor relations. You will move to Singapore and become our country manager there. So I just want to thank you for the strong efforts you have contributed with over the years. And please note that Hilde was instrumental in putting in place the Toronto pipeline and the Manhattan pipeline. So I think it was a perfect quarter to finalize the role in investor relations. We will send a release when your replacement is ready. So Hilde, please help us through the Q&A session.
Hilde Nafstad: Thank you very much, Torgrim, and thank you for the kind words. For the Q&A session, Torgrim will be joined by Svein Skeie who's the senior vice president for performance management and risk, and (indiscernible) who's the senior vice president for accounting and financial compliance. We'll take a question both from the audience here and also over the telephone. And I will first ask the operator to explain the procedure for asking questions over the telephone.
Operator: Thank you. (Operator Instructions)
Hilde Nafstad: Thank you operator, and we'll start with questions from the audience here in Oslo. And I'll ask you to please limit yourselves to one question each and also state your name and who you represent. And for you in Oslo, please remember to hold down the button on your microphone while you are talking. So please go ahead. Oslo, any question? Yeah, Teodor?
Teodor Nilsen – Swedbank First Securities: Yeah, Swedbank. Torgrim mentioned, the DD&A per barrel that that will go down over the next few years. Historically the DD&A per barrel has increased around $1 as far as I remember, does that [indiscernible] expect a lower increase for 2014 and $1 compared to 2013?
Torgrim Reitan: Okay. Thank you, Teodor. Just to take away any misunderstanding, I expect the DD&A per barrel to grow, to increase from the level where we are today. But the growth will be less than the growth that we saw last year in DD&A. More specifically, I won't go into the specific numbers, but it is related to that new fields are coming on stream and new production have a higher DD&A per barrel than existing production. Usually, they are two things. Normally, they are more capital-intensive than historic projects. And secondly, you depreciate over a limited reserve base that will grow over the life time of the deal.
Teodor Nilsen – Swedbank First Securities: Is it fair to assume that DD&A will increase more in our turnover?
Torgrim Reitan: No, that’s not a fair assumption.
Hilde Nafstad: Any further questions on the floor.
Kjetil Bakken – Carnegie: Kjetil Bakken from Carnegie. I was wondering if you could elaborate a bit on the situation in the European gas market. The turmoil in Ukraine has created fears that there could be supply disruptions – to what extent does Statoil have capacity – bear capacity to cover any such shortfalls and how do you see the longer term perspective on the European gas market if EU would like to diversify its energy supply?
Torgrim Reitan: We have totally had a makeover of our gas contract portfolio. So currently we have the flexibility within Statoil to serve the various parts of Europe and also to the site where most gas is coming through the various landing points. So the flexibility lies with us currently. So that is always a strength. With the current situation in Europe, we have had a mild winter, so storage positions are quite full. So there is flexibility there in the short term to cater for any disruptions. We have some flexibility to move around gas, we will do that to optimize around prices and using the flexibility. But of course, not in the magnitude that, that you are mentioning. When that is said, we would like to see stable gas deliveries to Europe from all sources. It is important that gas is reliable and trustworthy and it is sourced to Europe. It is important for Europe, it’s important for climate and it’s important for Norway. So in the longer term, we see that Europe needs more gas, it needs more gas from Europe, it needs more gas from Russia and also from other sources. So we find Europe as an attractive market going forward.
Neill Morton – Investec Securities: Neill Morton, Investec. Question regarding cost project going forward. You have review on different projects, Q1 cost excluded in 2040 and also in UK sector investor day. And what sort of approaches do you have on these reviews, is it on the total concept, is it on the phase, more phase development, or – and is it integration with other approaches in the area? And especially regarding Norway, to what extent has the exemptions from the uplift changes last year -- exemption from that helped in your projects?
Torgrim Reitan: Thank you, Morton. You touched upon specific projects. Point number one, we are prioritizing very hard in the portfolio. We are opportunity rich, many projects which is from a positive net present value is currently not sufficient to get allocated investment funds. When it comes to Johan Castberg, we are looking at different concepts. We are not ready to make an investment decision yet. We have – we are in the process of finalizing the drilling campaign around Johan Castberg in the Barents, it’s fair to say that the result of that is disappointing. We had hoped for larger volumes that you guys supported their original concept. So we are currently in an evaluation phase and we will see. I don’t have a specific date for when we make a concept selection. Very much also for 2014, we are not ready to make a concept selection but we are working to look at various concepts and optimizing the asset. When it comes to Bressay in the UK, that project is postponed. We have no specific date but there is some activity still in the license but that’s been actively postponed. Then on the exemption from the uplift, it has not materially changed our view on the situation. I think that’s the short answer.
Hilde Nafstad: Do we have any further questions in Oslo? If not, we will move on to the questions over the telephone. And our first question today comes from Oswald Clint from Sanford Bernstein.
Oswald Clint – Sanford C. Bernstein: First question just on the North American gas, specifically the Marcellus. The growth has been pretty linear in terms of its upward trajectory since you started. But do you have enough pipeline capacity to keep getting that gas out to market and especially with the growth you’re expecting? And linked to that, do you, with this kind of higher Henry Hub gas prices would you contemplate having more rigs into that resource base going forward? And second question is, focusing in on your OpEx per barrel which I think has dropped a little bit if you take the first quarter this year versus the first quarter last year. Is that starting to show some of your cost cutting initiatives or it’s still too early to actually expect that to start to show up?
Torgrim Reitan: Thank you very much, Oswald. First on Marcellus, the capacity we have is 3BCM into Toronto and it’s 2BCM into Penn Station at Manhattan. So that is sufficiently for us, for quite a bit of period going ahead. Currently we are filling up the capacity through the gas, third party gas volumes. When it comes to the rig count and the number of rigs in Marcellus, we are currently running rigs there, let’s see here, 9 rigs in Marcellus. Our main priority there is to drill to keep land building pads and hooking up to infrastructure. The local prices in Marcellus has been significantly lower than Henry Hub in the quarter. The spread has narrowed a bit lately but we are of course monitoring it closely. This asset we take a very long term perspective on, so we’re not in it for 2014 and 2015. This is going to be plateau for decades to come. So we are optimizing around that. When it comes to the operational cost per barrel, I mean you will see from the concept there is an increase in operational cost in absolute terms. 60% of that growth is related to increased transportation costs, especially in North America, it is related to growing production and it’s related to us being able to achieve higher prices. And then it is also affected by startup costs on Valemon [indiscernible]. When you look at the underlying, for instance, field cost on the Norwegian continental shelf, that has remained stable for, I think it must be close to 10 quarters now, even if we have more fields into production. And I can promise you the NCS teams are working very hard on costs and we see it in the numbers. We see it in the way that they worked. So it is starting to feed into the numbers. But I expect to be more to come.
Hilde Nafstad: Thank you. The next question comes from Thomas Adolff with Credit Suisse. Please go ahead, Thomas.
Thomas Adolff – Credit Suisse: Hi, good afternoon. Thanks. The line was not so clear, so I hope I'm not repeating myself. My question is around portfolio management and distribution to shareholders please. I mean if I look at the past few years, you’ve monetized quite a few assets on good terms. And if I think about your portfolio right now, it is opportunity rich because you had superior exploration success and therefore there is more potential for more portfolio management, we all know that. So my question really is around what I think about one-third of portfolio management from here on, it was said to assume that the EU wins have already been done and that quite a bit of your contingent or discovered resource base is still in the early stages where the value has to be stored for the maximized through appraisal. And with that, my question really is, is it fair to assume that further material monetization even on your base portfolio should not be expected in the near term. And if that is the case, the potential for discretionary share buyback should not really be happening anytime soon. Is that a fair thinking around portfolio management and share buybacks? Thank you.
Torgrim Reitan: Okay. Thank you, Thomas. We have not actively communicated the divestment targets, and that is deliberately. We have, however, divested quite a bit over the last three to four years some $18 billion. So, that has generated significant capital gains. We take a very pragmatic approach to our portfolio. Each project need to stand the test from a strategic point of view, from a profitability point of view and from a capacity point of view. And as you say, we are opportunity rich and we have made significant discoveries over the last three years. So you should expect there to be more transactions coming going forward. I can't be specific on what size and when, but that is a natural part of our strategy and something that we want to continue. Then when it comes to share buyback, so as we said in February, we intend to use that more actively going forward. It will be linked to divestment proceeds, the free cash flow situation in the company, and the balance sheet situation. So to us it’s a natural tool to use when we are in the situation that we are.
Hilde Nafstad: Thank you. And our next question comes from Haythem Rashed with Morgan Stanley. Please go ahead Haythem.
Haythem Rashed – Morgan Stanley: Thank you. Good afternoon. Thank you very much for taking the question. So if I may, one, just on start-ups in 2Q. You mentioned that -- obviously starting up most recently and on track. And I really wanted to -- can I just get an update from you on particularly Clove [ph] and some of your fast tracks whether we should be expecting sort of further contribution from some of these start-ups in 2Q in particular? Secondly, just to come back on your point around the cash generation for the quarter, very sort of good to see that being so strong in 1Q. And I do recognize that this is obviously only one quarter, but if you could just give us a bit of color or a bit of a sense of how you see that results relative to your sort of longer term expectations, the $22 billion that you've talked about on average for operating cash flow in 2014, '16, does this at all kind of either give you more confidence or change or your kind of thinking around that cash flow guidance and thinking about sort of how the free cash flow potential of that portfolio could serve it all from here on? Finally, just a quick question on Tanzania, there have been some recent press reports suggesting that a constitutional review in the country could sort of delay the process around getting approvals necessary for furthering LNG development there and sort of moving that process going forward? I just wanted to get your sense on how you felt that's progressing and whether you still see this as an event within that sort of time horizon that you stated?
Torgrim Reitan: Okay. Thank you Haythem. First question, start-ups, fast track, we have two more fast tracks coming during the year. As far as I recall, it is in the second of the year. When it comes to Clove [ph], you have more specifics on that in Angola, you can take that afterwards. When it comes to cash generation, you’re right, strong cash generation in the quarter, it is related to our guiding at the capital markets day. I mean we’re confident at that point in time and we are still confident related to that guiding. I think it's important to note that the cash generation this quarter is affected by that the day after 1st of April, we paid taxes for NOK 15.5 billion and also there are – all the elements in there, we have the arbitration case that we have described in MD&A, it’s also contributing with cash in the quarter. But going forward to 2016, I think it’s important to recall that the growth that comes on especially from the US is without taxes, we are not paying taxes in the US. So improving result and improving cash flows in the US are right to the bottom line. It will impact the average tax rate for the company and will be an important contributor to the growth in cash flow from operations. Tanzania, progressing well, we are drilling another well in the licensed site location happening. So I think all the work is progressing well. So but as I said earlier, we are not in a rush, we want to make this right more than as soon as possible. So Svein, on the Clove.
Svein Skeie: The Askja [ph] arrived in field in January, it is now being in the process of the integration towards the field. We expect the start up around midyear and going into further details, you should go to the operator on it but around midyear.
Hilde Nafstad: The next question comes from Guy Baber from Simmons.
Guy Baber – Simmons: I was hoping you could talk a little bit more about the fast track portfolio, I was just hoping you could share what level of production in those projects are contributing right now and when you expect to hit a peak level of contribution? Also it’s my understand that the volume should begin to decline by 2016. Is that accurate and then are you evaluating additional potential fast track projects that could either extend that plateau there or even increase production beyond 2016? I am just trying to get a better sense of what medium term production upside there might be based on more contribution from fast track projects?
Torgrim Reitan: So we take a lot of inspiration from the fast track concept and we want to extend that way of thinking into the other portfolio and that is very much about what the capital efficient project is about. When it comes to the specific projects, two more have been put into production in the quarter, so now I think we have eight producing. We are expecting two more in the quarter and then we have a long list of projects that are candidates for being fast track. And this is a popular concept, so with the project manager can qualify for being a fast track project, they know that a project more likely to happen. So there is a string of projects that we have to choose from. So for us it is a long term initiative and we expect that to be more project to come. So, but you’re right, I mean with the current existing projects that we are working on it, will start to decline sometime in the future. So to me this is assets that have generated very strong net present value and returns to the company and we are encouraged someone to use that concept going forward as well. So production, the fast track production level this year is still growing but – any detail Svein?
Svein Skeie: It’s growing and towards year end, as Torgrim said, we have two more fast track in production, we expect another one to come in the third quarter and fourth one into the fourth quarter. And then we are also expecting more then to come in 2015, earlier that one. So it’s in the phase of big ramp up.
Guy Baber – Simmons: I have one quick follow up. You stated that overall production was in line with the internal plan and the full year guidance. But my question was specifically related to the Norway liquids production which was pretty strong this quarter. Is it fair to say that Norway liquids production was better than you expected 1Q and any color around that?
Torgrim Reitan: So production in Norway was strong, particularly related to the regularity in the business. So they actually delivered more than the target on the regularity in the quarter. So it was a good liquid production in the quarter. But it’s sort of very much in line with the guidance for the full year 2% growth from a rebased level.
Hilde Nafstad: The next question comes from Alejandro Demichelis from Exane.
Alejandro Demichelis – Exane BNP Paribas: Just coming back to Tanzania, could you please update us, Torgrim, in terms of the discussions around the tax situation over there?
Torgrim Reitan: Can be more specifically --
Alejandro Demichelis – Exane BNP Paribas: The proposal to potentially impose some extra taxes and royalties on the development of cash production, how the discussions are going there?
Torgrim Reitan: I don’t have any specifics to discuss with you in the quarter but of course, everything around framework and taxes and governance and all of that is very important before we take any decisions in this respect. So it is important things that we are discussing with the authorities.
Hilde Nafstad: The next question comes from John Olaisen at ABG Sundal Collier.
John Olaisen – ABG Sundal Collier: Just question on tax rate internationally, a few years back you said that your guidance was 40% to 45% internationally and in 2011, you upped that to 55%, and you also said that in a couple of years, when the North American production is becoming more important, the tax rate should come down. And as I said, your recent guidance you said is 50% to 55% and in Q1 it was only 43%, 43.5%. Wanted to kind of fill in, maybe this is starting to happening now, is the tax rate internationally coming down?
Torgrim Reitan: The tax rate in the international segment this quarter was 43%, so it’s obviously lower than the guiding. We have said 50% to 55% tax rate internationally is still valid. Over time we expect that to come down as you know both US production over the next three years will grow with sales tax and in due time also Canadian production growing with a lower tax rate than the average. So you are right, it is – that’s the expectation going forward. When that is said, guiding is still there and it is still valid for the year.
John Olaisen – ABG Sundal Collier: But should you expect a rebound, the tax rate investment come up again in Q2?
Torgrim Reitan: On a yearly basis, around 70% tax rate is the guidance and that remains firm. So implicitly it means that the tax rate for the last three quarters needs to be a bit higher than in the first quarter, yes.
John Olaisen – ABG Sundal Collier: And in the US, you have a tax – big tax carryforwards, so you don’t have any cash tax but your US operations carry an P&L tax companywide?
Torgrim Reitan: So we are not paying taxes in the US and we are not carrying P&L taxes either for the time being.
Hilde Nafstad: The next question comes from Michael Alsford with Citi.
Michael Alsford – Citigroup: I’ve got a question on pre-sale Angola farm-out, just given the size of Statoil and I guess your strong recent tirade [ph] on exploration and particularly how positively you talk about the area, I was a bit surprised that you decided to farm out ahead of drilling. Did this decision relate to a change in view on the potential exploration in terms of the risk of drilling in the region or is it just simply risk management more broadly across the business? And then just a quick question to follow up on is the arbitration payment that will be made in the second quarter, could you give us a sense of what the value of that is, because there is a number floating around in the market and I just wanted to confirm it.
Torgrim Reitan: Our view of the presale concern, Delulu [ph] has not changed at all. So this is risk management, the exploration cost is very high related to those things and we have a very high equity share. So that is risk management. When it comes to ENI, so that case is settled. So it is exactly what we have provided for in our accounts over the last quarters. So there are no accounting effects in our accounts. So this is as expected. When it comes to the cash impact, I can’t go into the specific details. There will be a payment from us to ENI in the next quarter but it will be insignificant.
Hilde Nafstad: Then our next question comes from Peter Hutton at RBC.
Peter Hutton – RBC Capital Markets: The good news is that on the published numbers, Statoil generated more cash from its operations in the last quarter than the BP, we thought it was a good news. But against that background, can I just sort of ask about the update on the discussions with the government about the development of the marginal projects and also Johan Sverdrup? I mean one of the issues where you were generating significant cash, is that a lot of people tend to be lining up to get a share of that cash, can you just give us an update on where we stand in terms of those discussions and also the reaction to not going ahead with Ormen Lange and where we stand on the electrification from the onshore?
Torgrim Reitan: So there is in reality no specific news on the development of the marginal feeds. I mean we really need to make these fields as profitable as we can. It is our responsibility both toward our shareholders and also towards the society. When it comes to Johan Sverdrup, as you know great field, great development, will produce for maybe 50 years, plateau production 550 to 650,000 barrels per day, so it is significant. When it comes to electrification, there are no specific news there. We have made the concept selection with electrification for the phase 1 of Johan Sverdrup with the sufficient flexibility also for the future. So that is decision made in across the license partners as the most appropriate solution. So this is moving ahead and we are really looking forward to get started on the development.
Hilde Nafstad: Next in line is Michele Della Vigna from Goldman Sachs.
Michele Della Vigna – Goldman Sachs: I really wanted to look into the gas realizations which in both Europe and the US have substantially outperformed the benchmark for a variety of reasons, the cold weather in the US, possibly some forward selling in Europe. I was wondering if from here for the coming quarters, we could still use the benchmark as a good indication of your realizations there or whether something has structural improved there so that we should factor in higher realizations?
Torgrim Reitan: I think it’s a great opportunity for me to clear up higher bit on the expectations on the MPR segment. I think it’s fair to say that the first quarter result is a very strong one, it is linked to a very cold winter in the US together with the positions there that we have made. I think it’s fair to say that I just want to remind you what my colleague Eldar Saetre said earlier that a normal quarter for that segment is typically between the lowest and the highest for 2013, $2.5 billion to $3.5 billion a quarter maybe. So that everybody [indiscernible] quarter to quarter. When that is said, having flexibility, having control over bottlenecks gives opportunities to take super profits when situations occurs like it is – in the first quarter where there was -- sort of bottlenecks became very vivid and we were able to arbitrage the various pricing points. So the portfolio has skill, so if similar circumstances occurs there will be – still the opportunities to take very strong profit…
Svein Skeie: Just a clarification, 2.5 and 3.5 was kronor.
Hilde Nafstad: Then we have Lydia Rainforth from Barclays next.
Lydia Rainforth – Barclays Capital: On the cost base, if I could come back to – I realize it was only three months ago that you said – to control operating costs and improve the capital discipline. But I was wondering what sort of reaction you have seen both internally and from the service providers, and are you finding ways, or more ways than you expected to be able to look at the cost base? And then secondly if I could just clarify on the decrease in the trade payables for the quarter, what that related to, I think you mentioned it, I just missed it.
Torgrim Reitan: So when it comes to the improvement agenda that we are currently running, we see that our suppliers, many of them are very enthusiastic about this agenda, it makes sense, also they will get more out of each engineers in their business, and this makes future project more profitable and that means more business in the long run. So I would say in general strong support for the agenda that we are running. When it comes to the last question, I mean we had a reduction in the working capital over the quarter.
Unidentified Participant: Yes, in the trade and other receivable, we had an effect of NOK 7.2 billion, so it’s related to tax receivable and trade receivable and other prepayments.
Hilde Nafstad: Then we have Nitin Sharma from JP Morgan.
Nitin Sharma – JP Morgan: Torgrim, I had a clarification on the MPR results in the quarter, internal gas transfer price which for Q1 was amongst the lowest in the last 8 to 10 quarters whereas I note that average invoice price for the quarter was quite robust. In my mind this therefore means that the bigger than average proportional gas sales margin was reflected in MPR segment results, is it a fair conclusion and could we allocate some of this stronger MPR result to the low internal transfer price, please clarify?
Torgrim Reitan: So the internal transfer price is linked to the various market indicators like liquid prices in the various hubs and various baskets. So it should be a fair representation of the market that MPR is facing at any point in time. So whatever MPR can generate on value on top of that belongs in that segment. I think it’s fair to say that this quarter they have performed very well, particularly in the US but also in Europe. So you are right, the larger that difference is the better the result for MPR, but there is nothing strange with internal transfer price in the quarter.
Hilde Nafstad: And we are ready for our last question today from Theepan Jothilingam from Nomura.
Theepan Jothilingam – Nomura Securities: Actually just two quick ones, one just a point of clarification on your exploration spend for this year, you’re reiterating your previous guidance or do you expect sort of greater risk management and more farm downs potentially of any blocks or prospects you intend to drill? And then just, if you could talk about how you see performance for the rest of the year and that would be very helpful?
Torgrim Reitan: So exploration spend, $3.5 billion I mean we are prioritizing our portfolio strongly. We have more drilling opportunities than what we are willing to spend on each year but I think that’s fair $3.5 billion. So I can’t comment on whether there will be further farm downs – pretty pragmatic approach to all of the portfolio. On Snøhvit thank you very much for that question. I think it’s important to remind you that, that will go off in maintenance in the second quarter, which is that coming quarter and the LNG arbitrage profit lies in the MPR segment. So in the next quarter, there will be fewer carve-off from Snøhvit to generate value for the MPR segment. The regularity on Snøhvit has been very good over the last year, it has contributed strongly both the production and to returns. And the maintenance period is meant to make some further adjustment to the plant as well. So we do hope and we will work as hard as we can to run that smooth as it has run over the last year.
Hilde Nafstad: Thank you and that will conclude the session today. And today’s conference call with the Q&A can be replayed on from our website in a few days, and there will also be transcript available in a few days. If you have any further questions, please as always don’t hesitate to contact investor relations department. Thank you all for participating and have a good afternoon.